Operator: Welcome to the LGI Homes Third Quarter 2025 Conference Call. Today's call is being recorded, and a replay will be available on the company's website at www.lgihomes.com. After management's prepared comments, there will be an opportunity to ask questions. At this time, I'll turn the call over to Joshua Fattor, Executive Vice President of Investor Relations and Capital Markets. [Technical Difficulty]
Joshua Fattor: Thanks, and good afternoon. I'll remind listeners that this call contains forward-looking statements, including management's views on the company's business strategy, outlook, plans, objectives and guidance for future periods. Such statements reflect management's current expectations and involve assumptions and estimates that are subject to risks and uncertainties that could cause those expectations to be incorrect. You should review our filings with the SEC for a discussion of the risks, uncertainties and other factors that could cause actual results to differ from those presented today. All forward-looking statements must be considered in light of those related risks, and you should not place undue reliance on such statements, which reflect management's current viewpoints and are not guarantees of future performance. On this call, we'll discuss non-GAAP financial measures that are not intended to be considered in isolation or as a substitute for financial information presented in accordance with GAAP. Reconciliations of non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be found in the press release we issued this morning and in our quarterly report on Form 10-Q for the quarter ended September 30, 2025, that we expect to file with the SEC later today. This filing will be accessible on the SEC's website and on the Investor Relations section of our website. I'm joined today by Eric Lipar, LGI Homes' Chief Executive Officer and Chairman of the Board; and Charles Merdian, Chief Financial Officer and Treasurer. I'll now turn the call over to Eric.
Eric Lipar: Thanks, Josh. Good afternoon, and welcome to our earnings call. During the quarter, our teams remained focused driving leads, managing inventory and supporting our customers by delivering exceptional customer service and providing a seamless road to homeownership. Thanks to our outstanding efforts, we delivered positive third quarter results that were in line with the guidance provided on our last call. During the quarter, we closed 1,107 homes. Of this total, 1,065 homes contributed directly to our reported revenue of $397 million. The remaining 42 were currently or previously leased homes, the profits of which reflected in other income. Gross margin came in at 21.5%, and adjusted gross margin was 24.5%, both in line with the guidance range we provided. We've been successful in maintaining the overall strength of our margins even while operating in the most challenging segment of the market. That's on purpose and it's worth spending a few moments discussing why. First, we take a thoughtful approach to financing incentives. With higher mortgage rates driving affordability challenges, buydowns and other financing tools are among the most effective ways to tell buyers reach the closing table, and we continue to lean into offering the most competitive buydowns possible. However, going to extremes and buydowns just to move a few incremental homes is something we're working hard to avoid. Second, we continue to price all of our homes competitively, and we use price adjustments selectively, focusing on aging inventory while maintaining or raising prices in high-performing communities. Third, we prefer not to sacrifice margins to institutional land bankers. As a result, we don't have a pipeline of lot takedowns pressuring us to start homes prematurely, heavily discounting them to keep the system moving or to renegotiate takedown schedules which leads to higher future lot costs. Avoiding these situations gives us the freedom to be patient and make smart long-term decisions that will benefit our shareholders. Our best land banking partner has been and will continue to be the seller. Finally, because we primarily self-develop our lots, our margins include the profit a developer would have earned. This adds several hundred basis points to our margins and sets our performance apart from other builders who rely on purchasing finished lots. It's also a key reason we have never taken an inventory impairment. In short, our margins reflect disciplined execution, not elevated pricing. We do everything possible to manage costs and deliver high-quality beautiful home at a price that enables as many first-time buyers as possible to achieve the dream of homeownership. During the third quarter, our top market on a closing per community basis were Charlotte was 5.7%, Las Vegas was 4.7%, Raleigh was 4.2%, Greenville was 3.7% and Denver with 3.5% closings per community per month. Congratulations to the teams in these markets on their performance last quarter. Another highlight of our results was a significant increase in net orders and backlog. As we noted on our last call, sales trends improved in the back half of June, continuing into July, as mortgage rates declined from their midyear highs. These trends continued into August and September, driven by continued relief in rates and sales initiatives connected to our year-end Make Your Move National Sales Event. Because mortgage rates remain the key pressure point for entry-level buyers, we introduced exceptional financing options, including a forward rate buy-down commitment, which has a meaningful impact on improving affordability for many buyers. Additionally, we're offering price discounts of up to $50,000 on select older inventory. Together, these initiatives jump-started sales activity, demonstrated by an 8% increase in net orders compared to the same period last year and a 44% increase compared to the second quarter. As a result, our backlog at quarter end was up 20% year-over-year and 62% sequentially. We're encouraged by the momentum these initiatives have generated and view them as a positive step forward as we head into the fourth quarter. Before I hand the call over to Charles, I'll note that our long-term view of the housing market remains solidly optimistic. The underlying demographic trends continue to support our strategy, while the widening supply gap makes the attainable housing options LGI provides more valuable than ever. With that, I'll invite Charles to provide additional details on our financial results.
Charles Merdian: Thanks, Eric. Revenue in the third quarter totaled $396.6 million, down 39.2% compared to the prior year, driven by a 39.4% decline in closings. The average selling price of homes closed was $372,424, up slightly from last year, primarily driven by geographic mix and lower magnitude of incentives and was partially offset by a higher percentage of wholesale closings in the third quarter. The wholesale channel remains a compelling way to balance our home inventory. Our wholesale operation generated $54.5 million of revenue, resulting from 163 home closings or 15.3% of total closings compared to 9.1% of total closings in the same period last year. Our gross margin was 21.5% compared to 25.1% in the same period last year, the decline was primarily driven by a particularly strong comp last year, along with higher lot costs and capitalized interest as a percentage of revenue and a higher mix of wholesale closings. Adjusted gross margin was 24.5% compared to 27.2% in the same period last year. Adjusted gross margin excluded $11 million of capitalized interest charged to cost of sales and $1 million related to purchase accounting, together representing 300 basis points compared to 210 basis points last year. We expect capitalized interest to remain elevated due to higher borrowing costs and have reflected such in our fourth quarter guidance. Combined selling, general and administrative expenses totaled $63.6 million or 16% of revenue, in line with our guidance. Selling expenses were $35.7 million or 9% of revenue, up slightly from 8.5% in the same period last year. General and administrative expenses were flat year-over-year at $28 million. As a percentage of revenue, G&A expenses were 7.1% compared to 4.3% in the same period last year. Both selling and general and administrative expenses were higher as a percentage of revenue due to lower volumes. Other income in the quarter was $5.2 million, primarily resulting from the gain on sale of leased homes, finished lots, other land held for sale and LGI living lease income. Pretax net income was $26.7 million or 6.7% of revenue. Our effective tax rate was 26.2% compared to 24.3% in the same period last year. And for the quarter, we generated net income of $19.7 million or $0.85 per basic and diluted share. Order metrics improved materially in the third quarter with net orders coming in at 1,570 homes, an increase of 8.1% over the same period last year and 43.9% sequentially. Our cancellation rate in the third quarter was 33.6%, similar to the prior quarter of this year. Backlog at quarter end totaled 1,305 homes, up 19.9% year-over-year, and 61.5% sequentially. The value of our backlog at quarter end was $498.7 million. Of the homes under contract, 60 were tied to contracts with institutional buyers representing 4.6% of total backlog compared to 212 or 19.5% of backlog in the same period last year. Currently, we're seeing continued interest from our wholesale partners and we're well positioned for increased engagement from institutional buyers seeking to acquire scaled portfolios of finished inventory. However, the ability to transact continues to depend on alignment around pricing expectations. Turning to our land position. At September 30, our portfolio consisted of 62,564 owned and controlled lots, a decrease of 8.8% year-over-year and 3.4% sequentially. Of our total lots, 53,148 or 84.9% were owned and 9,416 lots or 15.1% were controlled. Of our owned lots, 36,316 were raw land and land under development, 25% of which were in active development that we expect to deliver over the next few years. The remaining 16,832 owned lots were finished. Of those, 13,136 were vacant and 3,696 were related to completed homes or homes under construction. We had 895 homes under construction at quarter end, down 40.8% sequentially and 54.7% year-over-year as we continue to focus on rebalancing inventory in select markets to meet current sales trends. The value of our portfolio of owned lots continues to be a competitive advantage for LGI Homes, with an average finished lot cost of approximately $70,000 and lot costs representing just over 20% of our ASP in the third quarter, our land position provides a meaningful cost advantage that supports margin stability even in a volatile market. This low basis enables us to offer competitive pricing to buyers while preserving profitability and it reflects years of disciplined land acquisition and development. During the quarter, we started 725 homes. We expect to continue to balance starts in the coming quarters primarily focusing on new and high-performing communities while slowing or pausing starts in communities where there is unsold existing inventory. I'll now turn the call over to Josh for a discussion of our capital position.
Joshua Fattor: Thanks, Charles. We ended the quarter with $1.75 billion of debt outstanding, including $623.6 million drawn on our revolver. We remain focused on reducing leverage, ending the quarter with a debt-to-capital ratio of 45.7% and a net debt-to-capital ratio of 44.8%. As inventory levels decreased and development spend moderates, leverage will continue moving toward the midpoint of our targeted range of 35% to 45%. Total liquidity at the end of the quarter was $429.9 million, including $62 million of cash and $367.9 million available under our credit facility. Our liquidity was up by over $107 million compared to the prior quarter, over $54 million compared to the same period last year. As of September 30, our stockholders' equity was $2.1 billion, and our book value per share was $90.10. With that, I'll turn the call back to Eric.
Eric Lipar: Thanks, Josh. Rates are down and sales were up. This recent increase in the pace of sales is an encouraging sign and our October closings demonstrate that the fourth quarter is off to a strong start. Tomorrow, we plan to issue a press release announcing that we close between 390 and 400 homes in October, pending verification of funding. This is our best month since June and reflects early signs of momentum coming from our sales initiatives. Community count at the end of October was 141 communities. We're continuing to write contracts in a market where many of our buyers need additional time to stay for a down payment, make modest improvements in their credit or sell in the existing home. This dynamic results in longer times between contract and close. Based on our current backlog, recent pull-through trends, October closings and current sales trends, we currently expect to close between 1,300 and 1,500 homes in the fourth quarter. At the midpoint of this range, that would represent a 26% increase in closings compared to the third quarter. We remain focused on affordability and meeting buyers at a monthly payment where they are able and willing to transact. We expect an average sales price in the fourth quarter to range between $365,000 and $375,000. Community count at year-end is expected to be approximately 145. Looking ahead, we expect community count at the end of 2026 to increase by 10% to 15%, reflecting continued investment in growing community count in our existing markets. Fourth quarter gross margin is expected to range between 21% and 22% and adjusted gross margin between 24% and 25%, similar to the results we delivered in the third quarter. Finally, SG&A expenses are expected to fall between 15% and 16%, and our tax rate is expected to be approximately 26%. We're pleased with our third quarter results and proud of the hard work our teams have put in to build up the backlog and position us for success in the quarters ahead. Their efforts drive our results and lay the groundwork for future opportunities, and I want to thank them for their continued focus and dedication to our company and to our customers. We'll now open the call for questions.
Operator: [Operator Instructions] And our first question will be coming from Trevor Allinson of Wolfe Research.
Trevor Allinson: First question is on the acceleration in orders of more than 40% sequentially. So clearly much better than normal seasonal trends. You talked about the benefit of lower rates, but since you also talked about some company-specific initiatives. Can you talk about which of those do you think was the biggest driver of the acceleration? And then should we view this as a strategy shift to lean into more volume? Or were some of the actions or a reflection of a desire to move some of the aged inventory that you guys had?
Eric Lipar: Yes. Thanks, Trevor. Great question. This is Eric. I want to look at it as a strategy shift to start with. I think what we've been talking to investors about and talking throughout the call, we're in the affordable housing business focused on an entry-level buyer. And we talked about rates are very important in that affordable monthly payment. And rates, the headline rates as the lowest has been in the last 12 to 18 months is that 10-year pop below 4%. And as rates went down, our sales went up, not a surprise to us, just offering a more affordable monthly payment. There are things that's happened when rates have come down, where our incentives and the value that we're providing, not necessarily spending more money, but being able to offer a 3.99% promotional rates is something we never offered before, and that's new for the quarter. We continue to lean into advertising dollars when appropriate. And this quarter, we were able to increase our advertising, drive more leads because it was working to drive those payments. And also the team in the field is doing a great job. We're hiring more salespeople. The field is taking more on more responsibility and training our new sales reps and doing a great job with that. So all those in combination is really more, I think, market-driven and affordability driven, not a shift in strategy.
Trevor Allinson: Okay. That was really helpful. And then second is on your views on your own land position and you had some commentary about the benefits of your own land position, but appreciating you guys -- your orders did jump here. It does seem overall like the market still remains pretty slow for most of the industry. You guys still control give or take 10 years of land. So is there a desire to more significantly work down your land positions here? And if you have already done -- begun doing this to some degree, what's been the appetite from other builders for additional land?
Charles Merdian: Yes. Trevor, this is Charles. I can take that one first. So we're constantly looking at our land supply in terms of what our current absorptions are, timing our development. We've got 13,000 finished vacant developed lots, which is a little heavier than we typically would like to have, but given the fact that we started development on a number of these communities beginning back in 2021, 2022. So we have a number of communities that have been either in entitlements or active development for several years, and they're just now coming to fruition and getting online for sales. So we feel very confident in our basis in those finished lots. So of our 13,000 finished lots, we have an average lot cost basis in the 70s, which we think is a tremendous value to help us maintain stability in margins, gives us a cost advantage when we're thinking about our land inventory and when to bring it on. And then the processes and what we're working with is managing our future development spend. So our development spend is sequentially coming down. We had about 9,000 lots that were in active development that's going to come into the operation over the next couple of years. So I think as we continue to focus on absorptions, work through the vacant developed land, we think eventually we are going to be in a position where the land inventory has been rightsized and in line with what we would expect. As far as availability of land and what we're offering, we do have some communities where we have excess finished -- vacant developed lots in terms of where we're thinking about we may have another community that we can adjust and put in behind it. So we're actively working on making good decisions on monetizing those where appropriate. Didn't have a lot of activity close in this quarter, but we just continue to evaluate that and make good decisions, whether to monetize those finished lots or whether to put them in the queue for future home construction.
Operator: And our next question will be coming from Kenneth Zener of Seaport.
Kenneth Zener: So the commentary around 10% to 15% community count growth, 2 aspects. First, given your selling and training process, which is unique to you guys. Can you talk about how much of that, I guess, the G&A is in your fourth quarter guidance as we think about modeling that community count growth? And then is that community count growth, could you give us like a first half, second half lift? Or is it steady?
Eric Lipar: Yes, Ken. Yes. No, good question, Ken. This is Eric. I can talk about the community counts and then Charles can talk about the G&A part of that. But community count, I think is going to be spread equally through 2026. One of the notes I made is the state that will be primarily driving the increase in community count are Florida, Texas and California, but they'll be spread equally through 2026. They're all bought, they're in process, and we're confident with that number.
Charles Merdian: Yes, Ken, as far as SG&A goes, I'll start with G&A. I mean, we've been averaging around $30 million in quarterly G&A expense going all the way back to the beginning of 2024. So we feel pretty comfortable that we've pretty well established the overhead side from a G&A perspective. And then as we bring in new community counts, we have the incremental dollars that we're going to have in terms of installing our information centers, hiring new sales staff, our office managers and our sales managers. So incrementally, those come in as a similar percentage of our expected revenue. So we don't think there's any front-ending, if you will, on this coming up next 12 months of community count. We're in the same geographic areas. So we're not expanding into any new markets. So our leadership infrastructure is in place, so that should be limited additional costs related to that.
Kenneth Zener: And then thinking about leverage, sticking with SG&A on units. Obviously, the first quarter was quite high this year, but we've been in that kind of 15 range, 2, 3, implied 4Q or -- a little higher. But can you comment about given where your SG&A is and the gross margin pressure, I think we can understand. But what do you think about SG&A given your community count? And how you see the business unfolding? Would it -- should it stay at the same rate or as we are ending this year or do you think you're going to get some lift in SG&A in general?
Eric Lipar: Yes, Ken, great question. Charles can add to it. But I think we look at SG&A, as it's really all about leverage and volume and absorptions. The G&A is predominantly fixed, the amount of marketing dollars fixed, but the total percentage of SG&A that was 16% last quarter, that is entirely dependent on the volume. And volume is not where we want it to be right now nor the past couple of years. It's improving in Q4, and we're excited about the orders in the backlog heading into Q4 and our guidance is for closings to be up 26%. And that's why we're guiding to a little bit less SG&A percentage in Q4 because of the leverage we're getting from closings.
Operator: Our next question will come from Alex Rygiel from Texas Capital Securities.
Alexander Rygiel: Can you talk a bit about the types of mortgages that your buyers are taking? And are they -- are you starting to see any use adjustable rate mortgages?
Eric Lipar: Yes. Thanks, Alex. This is Eric. I can take that. About just over 60% of our customers are taking FHA mortgages. And then when you combine that with VA and a very small percentage of USDA. I'd say government makes up 70% to 75% of our customers. And then conventional mortgages are another 10% to 15%. Adjustable rates, more customers are taking adjustable rates only because we are offering -- I mentioned it earlier, a 3.99% 5/1 ARM product, which is a fixed rate for 5 years at 3.99% which has been very positive in the market and then well received by our customers.
Alexander Rygiel: Super helpful. And then directionally speaking, as we look out into 2026, anything unique dynamic that could affect your average selling price? Or should we just model it based upon our own views as to how much price you might get next year?
Eric Lipar: Yes. I think my personal opinion is ASP is really going to have a lot of geographic component to it. And then it also, even on a community-by-community basis, the customers, the range of floor plans in available communities is usually $60,000 to $80,000 from the smallest floor plan to the largest floor plan. So that brings a layer of variability to it. We've been seeing our average square foot decrease in a more challenging affordability market. Costs right now are slightly down, which is a little bit of a tailwind to margins, but a little bit lower ASP, all things considered. So we have a view that prices are going to continue to go up. Our average sales price was $160,000 in 2019 and $240,000 in 2019. So when you look at cost over the next 3 to 5 years, we believe they'll continue to go up and our ASP is going to continue to go up. Over the next year, we'll see how it plays out and probably use your judgment as well.
Operator: And our next question will be coming from Andrew Azzi of JPMorgan.
Andrew Azzi: Just wanted to dig in a little bit on the community count growth for next year. That was definitely helpful guidance. I mean is that outlook inclusive of the view that demand kind of improved significantly from here? Or are you kind of dedicated to that growth, let's say, if current trends were to continue?
Eric Lipar: Yes. We're dedicated to that. The dollars are in the ground, and that would be at a community count that would be level with the current pace of absorption today.
Andrew Azzi: Got it. And how would you compare your incentives currently, let's say, 6 months ago? And how are you thinking about kind of adjusting these alongside your strategic initiatives? I believe just to touch on that, I think it was just the rate buydown and the price discounts. I'm curious if there are any others that are in the pipeline, but I would love to hear your thoughts there.
Eric Lipar: Yes. I would describe it as similar. We have been leaning into incentives and focus on getting older inventory sold and closed. I think the overall market coming down is what's been the difference for us is our similar pain points to get a lower rate, you just get more value from that right now. You can see in our gross margin guide being similar to -- in Q4 as Q3. We're not planning on incentivizing more current levels, current levels of gross margin, and then we'll see what 2026 holds. But I think incentive levels have been consistent and it's something that all of us in the industry have had to do for the last couple of years.
Operator: And I'm showing no further questions at this time. I would now like to turn the call back to Eric for closing remarks.
Eric Lipar: All right. Thanks, everyone, for participating on today's call and your continued interest in LGI Homes. Have a great day.
Operator: This concludes LGI Homes Third Quarter 2025 Conference Call. Have a great day.